Operator: Ladies and gentlemen, thank you for standing by, and welcome to the EPAM Systems' Third Quarter 2020 Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, David Straube, Head of Investor Relations. Thank you. Please go ahead, sir.
David Straube - EPAM Systems, Inc.: Thank you, operator, and good morning, everyone. By now, you should have received your copy of the earnings release for the company's third quarter of fiscal 2020 results. If you have not, a copy is available in the Investor section on epam.com. With me on today's call are Arkadiy Dobkin, CEO and President and Jason Peterson, Chief Financial Officer. Before we begin, I'd like to remind you that some of the comments made on today's call may contain forward-looking statements. These statements are subject to risk and uncertainties, as described in the company's earnings release and SEC filings. Additionally, all references to reported results that are non-GAAP measures have been reconciled to GAAP and are available in our quarterly earnings materials located in the Investor section of our website. With that said, I'll now turn the call over to Ark.
Arkadiy Dobkin - EPAM Systems, Inc.: Thank you, David. Good morning, everyone, and thank you for joining us today. For Q3, we delivered solid results, with revenue of $652 million, an approximate 11% year-over-year growth in reported terms. And non-GAAP earnings per share of $1.65, which represents almost 19% growth from the same quarter in 2019. Before providing more specific color on our Q3 performance, I would like to return to November 2019 when we had our Investor Day in Boston and shared our aspirational goals for EPAM 2021. It seems like it was many lifetimes apart, but I thought it's worth to remind that the goal we shared with you then was to continuously transfer EPAM into an adaptive enterprise with ability to adapt to people, platforms and processes into those that quickly respond to change, build and bring to life the digital platform that connect our people to work seamlessly and enable us to be efficient and effective in all what we do. Extend our leadership across integrated consulting engineering, open opportunities for transformation for everybody anywhere through next gen delivery, educational, social, and innovation programs. Obviously we started the journey of corporate adaptability long before our meeting in Boston. But in March of this year, we found ourselves very unexpectedly in completely new situation, which first forced us to forget about our aspirations and then very quickly to apply all we could to address the very urgent and significant changes in realities in business for us and for our clients. The circumstances later become even more challenging with the increase of social and political turbulence across multiple geographies we operate in. During that time, to our surprise, we recognized that we were better prepared than we initially thought. And at the same time, we realized that many of the things we had planned to do before the global crisis still needed to be done, but at much faster pace. So with that reminder, let me come back to our Q3 result and highlight several things. At this point, we can say that overall demand for our services in Q3 is more in line with Q1 of this year, our last pre-COVID quarter. While the structure of the revenue is visibly changed, some industries and specific companies are very much damaged from demand standpoint and most likely will continue to be under pressure for a relatively long time in the future. Some might not survive. On another hand, other industries and companies are motivated to significantly accelerate their own drive to become adaptive enterprises itself and to be better prepared for the next unexpected change whatever it is. We see such trends strongly enough within our current client portfolio and across new clients who started to work with us during the last several months and most in very much urgent manner. So in result, we continue to invest strategically in our key priorities as we said it in November 2019, which include integrated consulting called EPAM Continuum direction, cloud-enabled business transformation efforts, and data and (00:05:12) capabilities. In other words, strengthen our traditional engineering DNA direction. And all that while we're thinking the practical applicability of more flexible and much more distributed ways to deliver. Or in more traditional terms, the future of our work and talent approach, empowered by our digital talent productivity knowledge and educational platforms which we're also extending into direct offering to our clients or what we call inclusively our EPAM Anywhere direction. In addition, we're investing in broader diversified and more (00:05:54) strategy across the globe to make sure we have many quality growth hubs for the future. We believe that this investment along with overall expanded R&D programs will continue to positively differentiate us further in continued evolving and competitive environment in which we not only compete with global technology services companies unlike (00:06:18) global system integrators, but also (00:06:21) brand name consultancies. Our focus on becoming an adaptive organization has made it a critical requirement for us to review the majority of our engagements and identify ways in which we can become much more customer centric. We believe that our efforts to zero in on our customer value have created some new opportunities to expand our traditional engagement model and to help our customers to accelerate their digital programs, or in some cases, the adoption of new models of working and new models of engagement. Couple examples to illustrate. One of our largest privately held family owned spirit company in the world, EPAM helped transform their digital marketing platform allowing them the ability to expand their digital footprint and deliver innovative connected experiences to consumers while keeping cost under control. With more than 150 websites and 2,500 web domains, we improve brand consistency and perception while accelerating time to market and delivering significant operational cost saving. And we really could not have done this without a clear collaboration model around the customer, especially given the massive shift to work from home while still expected overall market growth in that segment. Another interesting example is the work we started just several months ago for a global leader of health information technology services, devices and hardware whose products are used at tens of thousands of medical facilities around the world. Their goal was to radically reimagine the role they plan (00:08:01), evolving from providing the system of (00:08:04) to support in actual health outcomes. Our efforts there are underway and we exercise on our new capabilities in consulting (00:08:14) technology and cloud architecture, delivery scale and productivity, and creating a new template of how we engage with customers from zero to full transformational program at a different speed. With that, our expectation for Q4 indicate that we will have a sizable sequential step up in our revenue growth, which could be one of our highest during the last several years. We plan to focus on the sustainability of those rate of growth as well as doing the (00:08:45) demand and supply in balanced and measured way in our high levels of delivery and quality. All, while keeping an eye on the very dynamic environment, which continues to be impacted daily with the global health crisis, social unrest, and economic anxieties. So we understand too well that while the second half of 2020 is shaping up to be better than our initial expectation, we are not at all out of the woods at this point and 2021 is still difficult to predict. As we look forward, we continue to navigate the current challenges while protecting our people, guarding our financial position, and investing in our core capabilities, platforms, and on energy efforts. All that to support our adaptive attributes (00:09:37) We strongly believe our position as the leading provider of digital product and platform engineering services combined with our maturing consulting experience is our key differentiator. We are confident in our ability to come out of this challenging time and (00:09:56) result driven company that will continue growing in the post-pandemic environment at 20-plus percent growth rate. And I think it's the right moment to mention that just a few days ago, Fortune magazine published their 100 Fastest Growing Companies list for 2020, and included EPAM in it for the third time and second consecutive with 21st overall ranking and is number one in information technology service category. Now, let me hand the call over to Jason.
Jason Peterson - EPAM Systems, Inc.: Thank you, Ark. And good morning, everyone. We delivered very solid results in Q3 with better than expected revenue growth combined with strong profitability and cash flow generation. In the third quarter, revenue came in at $652.2 million, a year-over-year increase of 10.9% on a reported basis and 10% in constant currency terms, reflecting a positive foreign exchange impact of approximately 1%. Revenue for the quarter was higher than our previously guided range due to a solid demand environment combined with stronger hiring as well as greater than expected availability across our delivery organization resulting in higher billable utilization. As Ark mentioned, the broad drivers of activity in our end markets remain unchanged. Our customers are modernizing and moving their applications to the cloud, advancing their digital transformation agendas, and in many cases, building the frameworks and tools needed to drive deeper insights from the volume of data they generate, allowing for better business decision making. Looking at Q3 industry vertical performance, Business Information & Media delivered very strong results, 32.3% growth in the quarter and continues to be our largest industry vertical. Life Sciences & Healthcare grew 11.1%. Software & Hi-tech grew 9.7% in the quarter. Financial Services grew 4.9% in Q3. Growth in the quarter was impacted in part by the expected ramp down of the European banking client. Excluding this client, growth in Financial Services was 12.3%. Travel & Consumer declined 2% in the quarter. Growth in this vertical was impacted by a decline in travel and to a lesser extent retail, partially offset by growth across a number of consumer branded goods customers. And our Emerging vertical delivered 12.12% growth driven by clients in telecommunications, automotive and manufacturing offset by a slowdown in the energy sector. The variability in growth across industry verticals is driven in part by certain of our customers working through end market disruptions related to COVID-19. However, we are encouraged by the early signs of improved demand from many of our customers as they make investments in response to the changing business environment. From a geographic perspective, North America, our largest region representing 59.8% of our Q3 revenues, grew 8.8% year-over-year or 8.6% in constant currency. Europe representing 32.9% of our Q3 revenues grew 13.3% year-over-year or 8.6% in constant currency. CIS representing 4.6% of our Q3 revenues grew 13.4% year-over-year and 30.9% in constant currency. Growth in the CIS region was driven primarily by clients in financial services and mining. And finally APAC grew 27.4% year-over-year or 25.6% in constant currency terms and now represents 2.7% of our revenues. In the third quarter growth in our top 20 clients was 17.8% and growth outside our top 20 clients was 6.2% year-over-year. Sequential growth for clients outside of our top 20 was 4.9%, substantially higher than sequential growth achieved by our top 20 clients. We were pleased to see a higher level of contribution in the quarter coming from new logos and a number of clients outside our top 20. Moving down the income statement. I should first note that we continue to run the business with a cost basis that is lower than our usual levels. While the lower cost basis is driven by operational efficiencies we have delivered across the business, there are also temporary contributors, including reduced travel, relocations and certain administrative expenses, producing lower levels of SG&A spend over the last two quarters. Looking forward, we expect a higher level of cost in a post-pandemic environment, but anticipate that some of the efficiency benefits could be maintained longer-term. Our GAAP gross margin for the quarter was 35.1%, compared to 35.8% in Q3 of last year. Non-GAAP gross margin for the quarter was 36.8%, compared to 37.1% for the same quarter last year. Gross margin in the quarter was impacted by the continued effect of COVID-19 concessions, partially offset by higher utilization and benefit from foreign exchange. GAAP SG&A was 17.9% of revenue compared to 20.2% in Q3 of last year. And non-GAAP SG&A came in at 15.9% of revenue, compared to 18.7% in the same period last year. Similar to last quarter, the reduced SG&A levels in the quarter were substantially driven by a lower level of activity-related relocations, travel and marketing events and other administrative-related expenses. GAAP income from operations was $96.4 million or 14.8% of revenue in the quarter, compared to $80.6 million or 13.7% of revenue in Q3 of last year. Non-GAAP income from operations was $123.3 million or 18.9% of revenue in the quarter compared to $99.7 million or 17% of revenue in Q3 last year. Our GAAP effective tax rate for the quarter came in at 14% which includes a greater than expected level of excess tax benefits related to stock-based compensation. Our non-GAAP effective tax rate which excludes excess tax benefits was 22.6%. Diluted earnings per share on a GAAP basis was $1.53. Non-GAAP EPS was $1.65 reflecting an 18.7% increase over the same quarter in fiscal 2019. In Q3, there were approximately 58.6 million diluted shares outstanding. Turning to our cash flow and balance sheet. Cash flow from operations for Q3 was $175.6 million, compared to $119 million in the same quarter for 2019. Free cash flow was $165.8 million, compared to $91.8 million in the same quarter last year, resulting in 171.5% conversion of adjusted net income. Our continued focus on operational efficiency around invoicing and cash collection, in addition to lower CapEx spending given the current environment led to (00:17:05) strong cash generation in the quarter. EPAM ended the quarter with approximately $1.5 billion in cash and available borrowing capacity made up of $1.16 billion in cash and cash equivalents, $60 million in short-term investments and $275 million available on our revolver. DSO was a record 70 days, compared to 73 days at the end of Q2 2020 and 75 days in the same quarter last year. Moving on to a few operational metrics. With a low level of attrition combined with active hiring, we were able to add more than 1,500 EPAMers to the company. Demand of new hires in Q3 is only slightly below our fiscal 2019 quarterly average. We continue to run our recruiting engine at high levels of efficiency as we ramp up our hiring efforts. We ended the quarter with approximately 33,750 engineers, designers and consultants, a 7.4% increase year-over-year. Our total head count for Q3 was more than 38,000 employees. Utilization was 78.2%, compared to 76.1% in the same quarter last year and down from 83.9% in Q2 2020. Now, let's turn to guidance. As we mentioned earlier in the call, as companies continue to focus on modernization and respond to changes in the economic environment, this drives demand for our business. In response to this demand, we are increasing hiring but continue to expect EPAM to run with lower than normal SG&A expenditures. As a result, we expect Q4 to deliver strong sequential revenue growth at elevated levels of profitability. For Q4, we expect revenues to be in the range of $695 million to $705 million producing a year-over-year growth rate of 10.6% at the midpoint in the range. In Q4, we expect the impact of FX on revenue growth to be negligible. For the fourth quarter, we expect GAAP income from operations to be in the range of 14% to 15% and non-GAAP income from operations to be in the range of 17.5% to 18.5%. We expect our GAAP effective tax rate to be approximately 15% and non-GAAP effective tax rate to be approximately 23%. For earnings per share, we expect GAAP diluted EPS to be in the range of $1.44 to $1.54 for the quarter, and non-GAAP diluted EPS to be in the range of $1.63 to $1.73 for the quarter. We expect a weighted average share count of 58.9 million diluted shares outstanding. Finally, a few key assumptions that support our GAAP to non-GAAP measurements for Q4. Stock compensation expense is expected to be approximately $19.5 million. Amortization of acquired intangible assets is expected to be approximately $3.1 million. The impact of foreign exchange is expected to be approximately a $3 million loss for the quarter. Tax effect on non-GAAP adjustments is expected to be around $5.4 million, and we expect excess tax benefits to be around $8.4 million. We are pleased with the outcome of our Q3 results and are encouraged by what is shaping up to be a strong finish to fiscal 2020. I would like to thank our employees across the globe for their hard work and dedication to EPAM's continued success. Operator, let's open the call for questions.
Operator: Our first question comes from Bryan Bergin with Cowen. Your line is open.
Bryan C. Bergin - Cowen & Co. LLC: Good morning. Thank you. Hope you're all well. Just wanted to gauge a bit here on outlook as we move past 2020. Is there any color you can give on growth recovery trajectory and specific to some of the industries you mentioned, the large European financial service client? Is that wind down complete and/or the travel and consumer clients are they at the base level of what you think you could start growing again?
Jason Peterson - EPAM Systems, Inc.: Let me start with, I guess, maybe the more tactical question. So, in terms of the, I guess, the wind down of the European banking client, that substantially happened in Q2. It shows up in Q3, which means it will also show up in Q4 and Q1 and a negative impact on Financial Services' growth rates. From a demand standpoint, and I don't think we would comment on beyond 2020, but what I would is comment on demand overall and what we do continue to see is obviously travel is quite negatively impacted. Energy is still negative with the low energy prices in the market. And then, if you're in the large physical audience kind of event space, all those businesses are also impacted. Other than that though, what we feel we're seeing is very strong demand across a broad range of industries and even some of the retail and consumer goods companies who may have paused investment in Q2 clearly are beginning to sort of accelerate investments to respond to the changing business conditions. Who knows what will happen if there's another round of COVID, economic shutdowns and everything. But right now, the demand is quite strong.
Bryan C. Bergin - Cowen & Co. LLC: Okay. It's good to hear. And then, just as far as the civil unrest in Belarus, can you just give us an update on the operational contingencies you have? Anything you can provide from the ground there and how you're mitigating risks and anything we need to consider as far as client risk associated with this situation?
Arkadiy Dobkin - EPAM Systems, Inc.: In very short for the last three months, we have probably less than half of day some interruption in connectivity. And it was already more than two months ago. Since then, infrastructure and general working conditions environment were pretty much stable in line with norm and we definitely have a lot of experience of monitoring and kind of seeing what's happening based on my experience of 2014 when situation escalated between Ukraine and Russia. So, really built very detailed BCP plans then. We were using them, adjusting them. To a specific situation in Belarus and again monitoring this daily and so far practically zero impact on our operations.
Bryan C. Bergin - Cowen & Co. LLC: Okay. Thanks, guys.
Arkadiy Dobkin - EPAM Systems, Inc.: Thank you.
Operator: Our next question comes from David Grossman with Stifel. Your line is open.
David Michael Grossman - Stifel, Nicolaus & Co., Inc.: Thank you. Good morning. I wonder if I could just go back to the question that was just asked just about kind of how the business is trending. And, Jason, you gave a good description of where you're seeing relative strength versus the areas of relative weakness. If we look at the guidance for the fourth quarter, on a year-over-year basis, it's very similar to what you saw in the September quarter. But like, again, sequentially, I think you're back to more normalized levels of sequential growth that you would experience in the December quarter. So, is it fair to say when you kind of balance the issues with demand as well as capacity, if you will, that we should return, everything else being equal, to more normalized sequential patterns of growth as we enter next year or is it just too early to call something like that?
Jason Peterson - EPAM Systems, Inc.: Yeah. I guess the one thing I would say is that as we talked about we've got subsection of the industry verticals that are continuing to be impacted. When I first – when we talked about in Q2 we said about a third of our customer revenues were in industries that were impacted by end customer demand. And I would say at this time in Q3, it's more like 20%. And so you're clearly seeing an improving environment. The one thing I think is important, David, is usually we would be having net additions of between 1,000 and 2,000 employees per quarter. And in Q2, we didn't hire that much and we had attrition. And so we actually had a decline in productive head count of 800 people. And so, we're still kind of behind on the availability of talent. And right now, we're back in a scenario where demand certainly exceeds supply. And it takes a few quarters for us to kind of get back to the point where we can sort of match up supply fully with available demand. We did hire faster than we expected in Q3 and that contributed with 1,500 net production head count additions. And then from a Q4 standpoint, based on the demand that we're seeing, we're expecting to add over 2,000 productive staff and that would be the highest rate of head count growth that we've seen in the history of the company. So I think it just takes us a little bit of time to sort of build back up the productive capacity to allow for those higher rates of annualized growth.
Arkadiy Dobkin - EPAM Systems, Inc.: But, David, I will say that still 2021 is not very clear and as you see like we – like the first – this is the first time COVID hit everybody. Who knows what will be happening (00:26:56-00:27:03) so have to keep this in mind.
David Michael Grossman - Stifel, Nicolaus & Co., Inc.: Right, right. But it sounds like at least for the moment, you're still operating in an environment where the demand – the rebound in demand is exceeding supply right now. Are you still – your revenue growth at least for the moment is till constrained by supplies, is that a fair statement?
Arkadiy Dobkin - EPAM Systems, Inc.: That's nothing new here. So we're also balancing between these two, so as you know.
David Michael Grossman - Stifel, Nicolaus & Co., Inc.: Right, right.
Arkadiy Dobkin - EPAM Systems, Inc.: So this is a – again, yes, it look more like normal, but with couple (00:27:38) Jason mentioned when you have to hold the machines and you need like to take time to go back and we're coming back pretty fast right now.
David Michael Grossman - Stifel, Nicolaus & Co., Inc.: Right. And just I think you also made a comment in your prepared remarks about some of the efficiencies on the expense side while some are temporary as a result of travel and all these other things going on in the business right now. Can you help us maybe unpack a little bit what – how we should interpret that about some of these efficiencies being more enduring? And in that response maybe you can weave in how your clients are thinking about a more sustained work from home model even it's not 100% of your business, but how are they thinking about work from home going forward and how is that getting priced in to these relationships going forward?
Jason Peterson - EPAM Systems, Inc.: I'll try to give you the tactical on the SG&A costs and what Ark said or talked more around what we're seeing from a client standpoint. So, the last two quarters we've been around 16% of SG&A as a percentage of revenue. You'll remember probably I guess last year I was talking about SG&A in the range of 18% to 19%. I don't think that I will be talking about 19% anytime soon, but I do think that 16% is obviously too low. And even as we look ahead to Q4, I would expect that SG&A would head towards 17% of revenue. You clearly continue to have limited travel, pretty much no travel in the SG&A side. We haven't added facilities as rapidly as we would have under usual conditions. We've got some administrative benefits. We're not doing marketing events. Investor conferences are done virtually. And so, I don't know what happens in the future, right? But I do suspect that there will continue to be savings as long as we're in this, sort of, deep COVID, no travel, no physical – coming together environment. And so, for as long as you think that goes on, I think you continue to see some pretty solid SG&A savings. And then in the future, I think that we are definitely seeing that there's opportunities, let's say, around the margin to run somewhat more efficiently, maybe from a supply and demand matching and then in a few areas in terms of our corporate functions. And so, it's too early for me to, sort of, say what profitability could look like in the future. But I'm somewhat hopeful that there's some opportunities for efficiency. I don't know if Ark...
Arkadiy Dobkin - EPAM Systems, Inc.: Yeah. And in general, work from home or this new way of work and, I think, it's very difficult to add anything new to what everybody talking about. Clearly the COVID pushed everybody, kind of, really forward. I don't know for how many years, from acceptance, what it could be. And I don't think it would go back completely to what it was just nine months ago. So, I'm pretty sure that acceptance is different trend. If it would be like for couple months testing, but it's already close to a year and probably will be much more than a year. I'm pretty sure going to stay for long and the models will be changing. The level of distribution on the project would be much more accepted and different approaches to securities will be there as well, so.
David Michael Grossman - Stifel, Nicolaus & Co., Inc.: So, contract terms and conditions from a pricing standpoint haven't really been approached yet, as it relates to, kind of, how much work is being done from home sales force?
Jason Peterson - EPAM Systems, Inc.: No. Not at this time, David.
David Michael Grossman - Stifel, Nicolaus & Co., Inc.: Yeah. Great. All right, guys. Thanks very much.
Jason Peterson - EPAM Systems, Inc.: Great. Thank you.
Operator: Our next question comes from Ashwin Shirvaikar with Citigroup. Your line is open.
Ashwin Vassant Shirvaikar - Citigroup Global Markets, Inc.: Thanks. Congratulations, guys. Good quarter. And the commentary seems positive. I want to delve deeper into the – you say demand is very strong, I believe, Jason, you used those words. The attributes of that, if you can talk about this conversations and pipeline, the conversion to project, the decision making pace, contract size, overall pricing, things like that? If you can get bit more granular and talk about those things as it sets up for the future.
Arkadiy Dobkin - EPAM Systems, Inc.: I think we tried to bring some color already to this and there are a number of plans which is new logos, which went pretty fast and there are some new programs. But it's actually all over the spectrum right now. There is some vendor consolidations. There are some slowdowns. I think, in general, it feels that it's much, much closer in overall to what we felt like in normal time, okay? So, I don't know if I can say that it's completely changed, but you'll feel more pressure and more speed from some clients.
Ashwin Vassant Shirvaikar - Citigroup Global Markets, Inc.: Understood.
Jason Peterson - EPAM Systems, Inc.: I mean...
Ashwin Vassant Shirvaikar - Citigroup Global Markets, Inc.: Yeah, yeah. Go ahead. Sorry.
Jason Peterson - EPAM Systems, Inc.: ...really, there seems to be a – that Ark just said, you know what, increased sort of – an acceleration of kind of focus on modernization. And so, you do have a series of customers that really do seem to have accelerated the pace of their journey. I think Ark in his prepared remarks talked about the high-tech IT software company focused on the healthcare space. And that was one of the companies that we talked about, I believe, in Q2 where the relationship had been established actually during the COVID times when they couldn't meet face-to-face and they couldn't visit our delivery centers. And that relationship is developing very nicely and they're likely to head towards our top 20 very quickly. Certain relationships are establishing and accelerating very, very quickly. And then, again, other clients just continue to sort of move along on their agendas. But, yeah, I think you've seen the industry vertical. We continue to have strong growth in the BIM space. Insurance continues to be an area where we see accelerated demand. We expect to see strong growth in healthcare and life sciences in Q4 and beyond. And then, solid growth in the high tech and IT or high-tech software portion of our portfolio.
Ashwin Vassant Shirvaikar - Citigroup Global Markets, Inc.: Okay.
Arkadiy Dobkin - EPAM Systems, Inc.: I think the difference...
Ashwin Vassant Shirvaikar - Citigroup Global Markets, Inc.: Yeah. Go ahead.
Arkadiy Dobkin - EPAM Systems, Inc.: ...sorry, I think the difference is like normal from our standpoint that everybody understands it. Like before, it was much more longer term, right now like you feel that it could change based on what's happening. And like when we thought like three months that COVID probably going to be down, now that is going up and what would be the action on this. So there is some question in there all the time.
Ashwin Vassant Shirvaikar - Citigroup Global Markets, Inc.: Understood. Yeah. The other question was on cash flow and your balance sheet, obviously, a good solid quarter with regards to the cash flow performance. Where there any pull forwards or any quirkiness because of the environment? And then, with the balance sheet I believe this may be the first time you have over $1 billion in cash. What's the cash usage or capital allocation strategy you're thinking of? Are you more likely to look for bigger acquisitions, something more transformational, or just continue with your current philosophy?
Jason Peterson - EPAM Systems, Inc.: Yeah. So the only onetime-ish item that I can think of is that, we – obviously your CapEx has slowed down somewhat as you're not building out facilities and some of those things to support head count growth. And so, you've had a slowdown in your CapEx, but really it's driven by the strong profitability and the significant improvement in DSO, which is down to 70 days. And so that's what's driven most of the cash generation. From the standpoint of kind of what we're going to do with the cash or how we're thinking about it, we still focus on the inorganic strategy. The valuation of opportunities continues to be active. And I do expect you'll see us announce some things over the next couple quarters. And again, generally on the smaller side, but I think there's definitely some opportunity to do something somewhat larger than we've done in the past. Again, it will always be carefully evaluated and we'll be prudent in our decision-making. But it could be somewhat larger than deals you've seen in the past years.
Ashwin Vassant Shirvaikar - Citigroup Global Markets, Inc.: Got it. Thank you, guys.
Arkadiy Dobkin - EPAM Systems, Inc.: Thank you.
Operator: Our next question comes from James Faucette with Morgan Stanley. Your line is open.
Jonathan Y. Lee - Morgan Stanley & Co. LLC: Hey. This is Jonathan, on for James. Thanks for taking my question. How are you thinking about the recent shut downs across Europe? Have clients expressed concern or delays around decision making because of it? And does 4Q guidance contemplate any impact?
Jason Peterson - EPAM Systems, Inc.: Yeah. So, impact of potential shut downs or shut downs in Europe on demand and client (00:37:54).
Arkadiy Dobkin - EPAM Systems, Inc.: We didn't see any specific correlation yet. So, again, clearly, like I just mentioned couple minutes ago, the question seems there (00:38:09) at the same time, it's very different than it was March, April when nobody knew how it's going to work. Right now, it's everybody much more comfortable. So, no impact which we see. So, it's everything similar to what we saw like months ago, two months ago, the directions there. But again the question, what impact will be in another month or two? Like seeing yesterday US numbers were 100,000 people exiting (00:38:43). What would be the next? Who knows. No impact so far.
Jason Peterson - EPAM Systems, Inc.: I would say that our guidance has tried to be thoughtful in terms of potential furloughs on the part of clients maybe in the month of December that we might not know about at this time and also whether or not we could have any sort of productive decline (00:39:02) so we've tried to take that into consideration. But as Ark said, we haven't seen any impact on decision making in Europe at this time.
Arkadiy Dobkin - EPAM Systems, Inc.: But in general, from work environment like everybody really comfortable working from home and distributed through, like, again I'm – I know that I'm saying what everybody else is saying, so that's nothing different here.
Jonathan Y. Lee - Morgan Stanley & Co. LLC: Got it. That's helpful. And we continue to hear about vendor consolidation across the broader IT services space and I think you mentioned that in some of your prepared remarks. Can you elaborate on some of the competitive environment and dynamics particularly against some of the larger systems integrators and consultancies?
Arkadiy Dobkin - EPAM Systems, Inc.: So, we don't have any specific numbers to share, but generally that didn't (00:40:03) happen because like when the hit happened in Q2, a lot of companies were reviewing their vendor lists and some of the vendors were definitely benefiting from this. We were benefiting in multiple clients as well. So, that's happening and continuing to happen.
Jason Peterson - EPAM Systems, Inc.: And I would say that not only has our brand been improving, but also just the reliability of our delivery in Q2 and Q3 during the more challenging times in COVID. We definitely had some wins from vendor consolidation in that standpoint. So, some of our competitors inside the clients had more trouble or let's say more challenges and that gave us some opportunity to pick up some business in those accounts.
Jonathan Y. Lee - Morgan Stanley & Co. LLC: Very helpful. Congrats on the quarter, guys.
Operator: Our next question comes from Ramsey El-Assal with Barclays. Your line is open.
Ramsey El-Assal - Barclays Capital, Inc.: Thanks so much for taking my question today. I wanted to ask about the relative contribution to growth of kind of cross-sell versus new logo signings and where that balance today stands maybe relative to before the pandemic, and also which one's more critical as we head into next year?
Arkadiy Dobkin - EPAM Systems, Inc.: So the simple answer would be as always like both of them very important. And traditionally, we're benefiting from growing with existing clients. And I think the level of kind of the structure for our client portfolio still allow us to grow a lot from existing brands and cross-sell. At the same time, we mentioned one case already today a couple times when we have new logo growing extremely fast with us and we've seen this as a real opportunity to diversify more. But cross-sell is extremely important. And when we're talking about digital, consulting, traditional engineering, we've seen more and more clients where we entered door from one side and basically very quickly bringing the kind of services which (00:42:31) figuring another side of the capabilities again. So, that's happening much more than before.
Ramsey El-Assal - Barclays Capital, Inc.: It's happening more than before, okay. And then headed into – well, okay, that's perfect. And then I also wanted to ask, just in general, can you update us on the sort of talent environment in the context of the pandemic? Are things normalizing a bit? How is attrition and some of the key metrics that you track? And just your general comments there would be appreciated.
Arkadiy Dobkin - EPAM Systems, Inc.: So, general comment also not changing in this – to answering this question because it's pretty consistent for the last eight years. Talent is very critical. There is huge competition for this. And I think with all that's happened even in Q2 and since the crisis started, it really didn't impact the pressure (00:43:31-00:43:36). Because if you think about as a pressure, was going like to more distribution, to more work from home, to more push on outside of the place where you are, and in general like a lot of companies had to reach out to additional vendors. So expanding the locations globally to become easier. At the same time, we talked last year many times about educational, about trainings and all of this, and this is becoming even more important part of our operation. We tried to (00:44:19) November 2019 when we met in Boston and it was a big part of our presentation as well. Actually very serious advances in this area during the last 12 months for us as well. So we're trying to have much more control as I say.
Jason Peterson - EPAM Systems, Inc.: Ark commented on the, I guess, the demand for talent. I'll just comment on some of the internal metrics. The attrition within the company has continued to decline, clearly focused on the safety and well-being of employees, but also focused on making certain that employees remain kind of committed to the journey here at EPAM. So, we actually completed our annual promotion campaign. And so, for the whole company and we've already done that this year. That impact of annual compensation increases is actually fully embedded in the Q3 results. So we try to make certain that as we see improving demand that we're making certain that we're supporting our employee base. And I think a number of the other things we've done including, Ark and others leadership has contributed to actually a decline in attrition rather than an increase.
Ramsey El-Assal - Barclays Capital, Inc.: Great. I appreciate your answers. Thank you.
Operator: Our next question comes from James Friedman with Susquehanna. Your line is open.
James E. Friedman - Susquehanna Financial Group LLLP: Ark, in your prepared remarks you talked about changes in engagement. You gave the example of the spirit company and the healthcare client. I was wondering though if you could elaborate on that a bit. Is that the way that you're engaging the customer, the way that the customer engages their customers, both? Any perspective on that would be helpful.
Arkadiy Dobkin - EPAM Systems, Inc.: I think perspective in general very simple. And again, don't think its eye opening, but if you think what's happened six, nine months ago, with COVID that some companies which were thinking that they are very much on the right place with their digital transformation programs, started to find out that actually what was done during the previous couple years should be very quickly done. And some companies which were postponing the programs realized very quickly that they have to actually jump in as well if, again, business allowed, if financing allowed to do it. From this point of view, both examples exactly illustrate this point. For the first one, they put a lot there already but then realized that the whole digital ecosystem should be very different with this. I don't know, 5, 10 years jump in the future. And the second one really probably felt a pressure to do it immediately and probably were waiting for maybe a year, maybe two, maybe three before and now jumping very quickly to this trend. And I think that's true across different vendors. While again, the general picture, the whole demand is still impacted by some industries and companies which is in a very unfortunate situation right now.
James E. Friedman - Susquehanna Financial Group LLLP: Ark, you also said that you felt that the Q – I thought you said that the Q4 could be among your highest growth. I apologize if I misheard that but that seemed important, so what's that... (00:48:08)
Arkadiy Dobkin - EPAM Systems, Inc.: What we meant that sequential gross Q4 versus Q3...
James E. Friedman - Susquehanna Financial Group LLLP: Got you.
Arkadiy Dobkin - EPAM Systems, Inc.: ...looks right now is one of the highest during the last probably two, three years.
James E. Friedman - Susquehanna Financial Group LLLP: That makes sense.
Arkadiy Dobkin - EPAM Systems, Inc.: This is sequential growth. Okay? But we also need to understand the whole dynamic because you cannot compare this to a normal year because we went down and then we're going up from different situations.
James E. Friedman - Susquehanna Financial Group LLLP: And then the last thing, you also said that some companies may not survive. So that sounds important too. What do you think? What's that about?
Arkadiy Dobkin - EPAM Systems, Inc.: I think as we have pretty general knowledge and some company (00:49:00) and some companies in very specific markets definitely under huge pressure, like, if you're talking about some companies which are very tied to the physical space. Who knows how long they will be able to handle the kind of COVID situation. And again our understanding about five and six months ago and now very different again. I'm pretty sure six months ago (00:49:32) number of predictions that it will be much longer, but we as a human being were hoping for the best. And now we're in this reality that nobody can say it's another 6 months or another 18 months.
James E. Friedman - Susquehanna Financial Group LLLP: Yeah. Thank you.
Operator: Our next question comes from Jason Kupferberg with Bank of America. Your line is open.
Jason Kupferberg - BofA Securities, Inc.: Good morning. Guys, I wanted to follow up with another margin question. I thought the SG&A commentary you gave was very helpful, Jason. So, I'm just wondering about the puts and takes on gross margins going forward. I know there's been some elevated utilization this year but obviously you've had some client concessions too. So how should we be thinking about the moving parts as we try and put a finer point on our expectations for gross margin next year?
Jason Peterson - EPAM Systems, Inc.: Yes. So maybe I'll first focus on just kind of Q4. So generally what you have in Q3 is you've got higher levels of available working days or bill days. And so generally that has a positive impact on gross margin. And then you have lesser days in Q4 which has a negative. But we are beginning to see declines in the COVID-related concessions that have impacted both revenue growth and profit to a certain extent. Utilization continues to run a little bit higher and probably will be somewhat higher in Q4. And so I think you'll see the gross margin will kind of remain around the level that it was in Q3. On a go-forward basis, I probably shouldn't be talking about 2021 until we get to our Q4 call and had a little bit more thoughtfulness around it. But just talking about moving pieces, there's quite a bit, right? We'll clearly see a reduction in the COVID concessions as we enter the fiscal year. At the same time some of the questions that were asked earlier around what happens with pricing and everything, the pricing environment is not exactly the way it used to be. In some areas, we clearly have, there's some opportunity because demand is strong. But until there's a global improvement in the overall macro economy, I don't think you'll see the same types of pricing that you may have seen in past years.
Jason Kupferberg - BofA Securities, Inc.: Perfect. What's your initial sense of how COVID is impacting client budgeting processes for 2021 just in terms of the timing and the overall approach to those processes?
Arkadiy Dobkin - EPAM Systems, Inc.: I think we already kind of answered this question. There is a lot of acceleration in movement. You're asking about internal processes or program – depending (00:52:23) on the program execution or what exactly?
Jason Kupferberg - BofA Securities, Inc.: Just clients as they start to think about their budgets for next year, how their budgeting process is changing just in terms of timing or just the overall approach in light of COVID? I think this is the time of the year when they would start, shape those plans for next year. So, as you're talking to your customers, are you getting any sense for whether or not budgeting processes are going to be pushed out or they're going to look different this year than in prior years?
Arkadiy Dobkin - EPAM Systems, Inc.: I think it's a little bit early at this time. Even in normal year, it will be a little bit early at this time. But definitely, we're feeling that this conversation is starting (00:53:11) happening but – and everybody kind of still in the annual cycles, traditionally, but at the same time, I think everybody understands that the cycles will be much more quarterly or even monthly and whatever decision would be made in the next several months, it could change very quickly. And I think everybody now in this long plan cycles thinking little bit differently. So, but in any case, it's too early at the beginning of November to comment.
Jason Kupferberg - BofA Securities, Inc.: Okay. Got you. (00:53:49) situation. Makes sense. All right. Thank you, guys.
Jason Peterson - EPAM Systems, Inc.: Thank you.
Operator: Our next question comes from Maggie Nolan with William Blair. Your line is open.
Maggie Nolan - William Blair & Co. LLC: Thank you. Hi. How much are you seeing clients ask for pricing concessions versus maybe the March timeframe? And should we expect any changes to pricing structure fixed versus time-and-materials, et cetera?
Jason Peterson - EPAM Systems, Inc.: I mean, we've had a subtle shift towards fixed fee that I think you'd see it in our fact sheet. But I don't think you'll – it may continue to drift a little bit with a slightly higher fixed fee component. But again, we're still going to substantially be the T&M from a revenue generation standpoint.
Arkadiy Dobkin - EPAM Systems, Inc.: And it's definitely very different environment than was in March. So I think while we not expecting exactly coming back to the rate conversation and increases like it was 12 months ago. It's a very different environment right now. And when we're talking about growing demand, it's very visible at least for us and we're seeing pretty interesting kind of competition for right capabilities to execute those programs much faster. So, in some situations, there are – again, very different feels than it was March, April.
Maggie Nolan - William Blair & Co. LLC: Okay. And then are there any specific goals or a timeline for your efforts to create a more kind of diverse global workforce whether that be in terms of geographic distribution or embracing remote work arrangements in a more meaningful way? (00:55:41)
Arkadiy Dobkin - EPAM Systems, Inc.: Yeah. I understand. And this is pretty long (00:55:48) conversation, but in general, you probably seeing what we're doing for the last eight years and how we diversified our global delivery strategy coming just from pure Eastern Europe going to China, India, Latin America, and this is happening as we speak as well. So, there's diversification happening as well. On top of this, we're thinking about and we mentioned what it means work of the future for us as well. And I think the next level of just globalization with actually distribution of the work would be happening. And again, it's coming back to our efforts to have a right platform support for this, right talent management, practices again supported by platforms. We're seeing that COVID just pushing this strongly to the future quickly.
Jason Peterson - EPAM Systems, Inc.: And again, just on kind of more tactical metrics, so the fastest-growing geographies for us in Q3, Mexico, India, Europe. So, we continue to, kind of, diversify and become increasingly global. Within the CIS region, we're growing most rapidly in the Ukraine. But you continue to see a, sort of, expand our geographic footprint.
Maggie Nolan - William Blair & Co. LLC: Thank you.
Operator: Our next question comes from Vladimir Bespalov with VTB Capital. Your line is open.
Vladimir Bespalov - VTB Capital CJSC: Hello. Congratulations on the number and thank you for taking my questions. I want to ask you about utilization. The third quarter is usually a period of vacations, but this time it was very different. So, is there any risk for the future that a lot of vacation time has been accumulated by employees and this might affect the supply side some time going forward? And I would also ask and want to ask on the comments, which you made during the call that in your guidance, you built in some potential issue, I would say, with clients in December and things like this, which are not materializing yet. So, maybe, from the supply side, what kind of growth, if everything is good in terms of attrition, hiring, utilization and things like this, what kind of growth you could support in the fourth quarter if everything is good? Thank you.
Jason Peterson - EPAM Systems, Inc.: All right. So, let me just clarify a little bit on the comment. The furloughs still can come, right? So, we just try to be thoughtful around the impact on what you described, either vacation or furloughs or potentially any other types of disruption. And so, again, there's just a thoughtfulness. And, again, at this point, we'll still see what happens here in the remainder of November and December. I think from the standpoint of, clearly, demand exceeds supply. But it would be hard to sort of size, like there's too many kind of puts and takes in the numbers to sort of size what upside could be. I think we feel that the $695 million and $705 million is a well-reasoned number based on the environment. I should comment that we don't expect to see much FX benefit in the quarter and we also have a much lower level of acquisition or inorganic. So, that 10.6%, it's in the midpoint, is pretty much truly a 10-plus percent organic constant currency growth rates. And as Ark said, it's kind of one of the highest sequential growth rates that we've seen year-over-year – sequential growth rates that we've seen over time. And so, I think it's – again, it's a good solid sort of revenue guidance.
Arkadiy Dobkin - EPAM Systems, Inc.: The question was about Q4 or general for the future?
Vladimir Bespalov - VTB Capital CJSC: It was mostly about Q4 but if you could comment on the future, it would be great.
Arkadiy Dobkin - EPAM Systems, Inc.: I think our traditional answer would be, we would like to come back to our 20% plus, so. And again, that's a balance between demand and supply and it's about the quality of the supply. So, that's why we're still targeting out solid 20% plus for the future.
Vladimir Bespalov - VTB Capital CJSC: Thank you very much. And on the accumulated vacations and things like this, maybe you could comment a little bit. How do you see this or there is no problem with that?
Jason Peterson - EPAM Systems, Inc.: Yeah. I don't think there's any – I mean, again our guidance both in terms of revenue and profitability incorporates, let's say, an appropriate estimate and we're pretty focused on what that looks like and what the productive capacity looks like. So, I wouldn't expect anything unusual to occur there.
Vladimir Bespalov - VTB Capital CJSC: Okay. Thank you very much.
Jason Peterson - EPAM Systems, Inc.: Thank you.
Operator: Our last question is from our line from Arvind Ramnani with Piper Sandler. Your line is open.
Arvind Ramnani - Piper Sandler & Co.: Hi. Thanks for talking my questions. Most of my questions have been answered, but just if you could talk about your enterprise sales in a remote working environment? You're certainly not able to visit your clients at their offices or at industry conferences, but have continued to grow quite nicely. Can you talk a little bit about how you're generating your leads, how you're closing – continuing to close large deals either at new clients or even at existing clients?
Arkadiy Dobkin - EPAM Systems, Inc.: I honestly don't know how exactly to answer this question. So, basically, through Microsoft Teams and Zooms (sic) [Zoom] (01:02:05) now. So, other than that, I don't think it might changes. Yes, we thought it will be huge impact and everybody else as well, but I think people found a way how to communicate.
Arvind Ramnani - Piper Sandler & Co.: Yeah. Great. And then, no, just related to this question, if you kind of look at 2020, are there some lessons you have learned from an operational perspective that you expect to use in a post-pandemic world? Are there things that you're looking to change from operational perspective as you kind of look ahead for the next two years?
Jason Peterson - EPAM Systems, Inc.: I think we probably got somewhat nimbler, particularly in the area of sort of supply and demand matching. And there's a number of things that we've done to I would say sort of accelerate processes of getting resources onto accounts. In that I think one of the other areas just from a financial standpoint as I think we have made some real changes in our invoicing and cash collection processes. And it's part of what has contributed to that decline in DSO and the real improvement in cash collection and our cash balances.
Arvind Ramnani - Piper Sandler & Co.: All right. Thanks and good luck for the remainder of the year.
Jason Peterson - EPAM Systems, Inc.: Thank you so much.
Arkadiy Dobkin - EPAM Systems, Inc.: Thank you.
Operator: Thank you. I'd now like to turn the call back over to Arkadiy Dobkin for closing remarks.
Arkadiy Dobkin - EPAM Systems, Inc.: Thank you again for attending the call today. I hope everybody will stay healthy during this time. And if you have any questions, David is available to help as always. Thank you and talk to you in three months.
Operator: Ladies and gentlemen this concludes today's conference call. Thank you for participating. You may now disconnect.